Operator: Welcome and thank you all for standing by. At this time, all participants are in a listen-only mode. After the presentation, we will conduct a question-and-answer session. (Operator Instructions). This call is being recorded. If you have any objections, you may disconnect at this point. Now I will turn the meeting over to Mr. Jonas Prising. Sir, you may begin.
Jonas Prising: Good morning, and welcome to the second quarter 2014 conference call. With me is our Chief Financial Officer, Mike Van Handel as well as our Executive Chairman, Jeff Joerres. I will start our call by going through some of the highlights for the quarter and then Mike will go through the details of each segment, the relevant balance sheet items, cash flow as well as forward-looking items for the next quarter. I will cover some additional thoughts on progress after that with insights from Jeff as well. But before we go any further into our call, I would like Mike to read the safe harbor language.
Mike Van Handel: Thanks, Jonas. Good morning, everyone. This conference call includes forward-looking statements which are subject to known and unknown risks and uncertainties. These statements are based on management's current expectations or beliefs. Actual results might differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements can be found in the company's annual report on Form 10-K and in the other Securities and Exchange Commission filings of the company, which information is incorporated herein by reference. Any forward-looking statement in today's call speaks only as of the date of which it is made. We assume no obligation to update or revise any forward-looking statements. During our call today, we will reference certain non-GAAP financial measures, which we believe provide useful information for investors. We include a reconciliation of those measures where appropriate to GAAP on the Investor Relations section of our website at manpowergroup.com.
Jonas Prising: Thanks, Mike. As many of you know, this is my first quarter as CEO after having spent the last 15 years in the company and it has allowed me to look at the market trends from a different vantage point, and I can tell you that with that new perspective, I am both optimistic and confident that our offerings will grow in importance for our clients all over the globe. Since in the conversations with the companies that I had, I can tell that they are facing incredible pressures to become more agile in their workforces and at the same time they need to find the best talent wherever they may be in the world. And that is exactly what we at ManpowerGroup are all about, a passion for helping clients and candidates win in a rapidly changing world of work, and we do this by delivering a range or workforce solutions to clients and at the same time we provide gainful employment to millions of people all over the world. And this duality of purpose is what really gives us our passion for the business and it is why I have such great confidence in the talent we have within our organization and our ability to explore and exploit the opportunities before us. Now in terms of our second quarter performance, we had a good quarter with revenue towards the higher end of our expectations and that in combination with good cost control is resulting in earnings that exceed our estimates. Our revenues were $5.3 billion in the second quarter, up 4% from prior year. This additional revenue had good flow-through and the work on simplification and pricing discipline gave us good leverage which results in operating profits increasing by 24% in constant currency to $187 million and operating profit margin increase of 60 basis points compared to the same period last year. And that resulted in our earnings per share coming in at $1.35, which is 26% above the prior year in constant currency, a strong performance. We had anticipated that the market conditions in Europe would continue to slowly improve and that the U.S. would continue on its path of a steadily improving labor market and both of those market trends came to pass in the quarter. As we expected, the strength of the recovery is still uneven in terms of breadth and strength, particularly in parts of Europe and some emerging markets in Asia and Latin America This means our continued focus on disciplined growth and simplification efforts will be very important as we look to improve our performance in market conditions that continue to improve at a modest pace. And Mike and I will provide some more details and thoughts on our view of the market as we go through the rest of the call. Let me also say, that our teams all over the world worked very hard to deliver these results by focusing on our vision of helping clients and candidates win every day. And I would like to take this opportunity to thank all of them for their efforts and the results this quarter. With that, I would like to turn it over to Mike for some additional information and detail on the segments.
Mike Van Handel: As Jonas mentioned, earnings per share in the quarter was $1.35, which exceeded the high-end of our guidance range of $1.26 to $1.34 per share. If you compare our reported earnings per share in the quarter of $1.35 to the midpoint of our guidance range of $1.30 there are a number of reconciling factors impacting the quarter. The primary element was operational performance, which exceeded our forecast by $0.07 per share. This was a result of constant currency revenues coming in at the high end of our guidance range, up 3.7% in constant currency or 4.7% on an average daily basis. Additionally, our gross profit margin came at the high-end of our range at 16.9%. I will provide more background in this operational outperformance in my segment review in a few minutes. Also favorably impacting the quarter was a property insurance recovery, recorded in corporate expense which added $0.03 per share and lower other expense adding $0.01 per share, primarily as a result of foreign-exchange gains. Also having a favorable impact was a translation impact from foreign currencies, which turned out to be $0.01 better than expected having a favorable impact of $0.03 per share compared to forecast of $0.02 per share. Lastly, we had an unfavorable impact of $0.07 per share related to legal settlement costs incurred in the United States. As you can see from the operational outperformance, our SG&A expenses were well controlled in the quarter, and as a result the higher gross profit on revenues at the high end of our range favorably impacted our operating profit resulting in an operating profit growth of 30% in constant currency and operating profit margin above our guidance at 3.7%, if we exclude the U.S. legal costs and prior year restructuring charges. As we discussed last quarter, we completed our cost recalibration and simplification plan last year and we are still reaping the benefits of this successful initiative in 2014 with a favorable impact on SG&A. There are no restructuring charges in the quarter or year-to-date. As you review our results for the quarter, keep in mind that in the second quarter of last year we had $20 million of restructuring charges, which is $14.4 million after tax or $0.18 per share. I will exclude these charges from the prior year results when doing my segment review to get a true picture of the underlying improvement. The gross profit margin came at the high end of our forecasted range at 16.9%, an improvement of 30 basis points over the prior year. Of this amount, our Manpower Staffing and Experis Interim business contributed 40 basis points of improvement. Through strong price discipline and focused pricing initiatives, our Manpower Staffing gross margin was up 50 basis points in the quarter and our Experis Interim gross margin was up 40 basis points in the quarter. Our gross profit margin was negatively impacted 10 basis points as a result of a mix shift caused by a contraction in our higher margin Right Management and Career Transition business. Our gross profit from permanent recruitment was up 4% in constant currency, both sequentially and year-over-year. Since permanent fee growth was about in line with growth in temporary Staffing revenues, there is no impact on gross margin compared to the prior year. While we have seen some pockets of strength in permanent recruitment in some countries such as the U.K., at this point we are not yet feeling a broad-based recovery in permanent recruitment fees. We see this is a good growth opportunity in the future as the global economies gain a stronger footing and become more conducive to permanent hiring growth. Now let's take a look at gross profit by business line. Our Manpower gross profit represents two thirds of the total and improved to 6% growth in constant currency in the quarter. Consistent with the early stages of recovery, we are seeing revenue growth primarily in the industrial verticals with growth across each of the operating segments from mid to upper single digits. Growth in our office and clerical business remains sluggish with slight growth in the Americas and contraction in Southern and Northern Europe as well as Asia-Pacific, Middle East. Our Experis business represents 18% of gross profit of which roughly 70% is IT, 10% engineering, 10% accounting and finance, and 10% other skills. Our growth in Experis gross profit was 8% in constant currency, an improvement from the 5% growth we saw last quarter. Within Experis, we saw solid growth from our Interim Staffing business as well as permanent recruitment and our project solutions offering. From a skills vertical perspective, gross profit growth from IT was up 10% while finance and accounting was up 5% and engineering had a modest decline. Our ManpowerGroup solutions business delivered $85 million of gross profit in the quarter, accounting for 9% of our overall gross profit. Gross profit growth remains steady with the prior quarter of 6% in constant currency. Our ManpowerGroup solutions showed growth across all product line offerings with RPO up 6% in constant currency and MSP 12% and talent-based outsourcing 2%. Our Right Management business contributed $51 million of gross profit in the quarter or 6% of the company total. Gross profit for Right was down 4% in constant currency. I will discuss the Right results later in my segment review. Our SG&A costs in the quarter came in at $709.9 million and this was essentially flat with the prior year in constant currency after excluding the prior year restructuring charges and the current year nonrecurring legal charge in the U.S. of $9 million. We were able to drive year-over-year productivity during the quarter as SG&A expenses as a percentage of revenue improved to 13.3% from 13.7%. A portion of this productivity improvement relates to prior year actions under the recalibration and simplification plan and a portion relates to driving productivity on new revenue growth. On a year-to-date basis, our SG&A cost are flat on a constant currency basis when we realize the productivity gain of 50 basis points as SG&A improved to 13.7% of revenue from 14.2% of revenue. Next I will review our segment results. Revenue in the Americas was $1.2 billion, an increase of 5% in constant currency, which is at the high end of our revenue guidance. While revenues in the U.S. were about as expected, revenues in Canada and Latin America were slightly above forecast. Some countries in the Americas had fewer billing days in the prior year and as a result, Americas revenue on an average daily basis was up 6.3% in the quarter. The gross profit margin was up due to an improving Staffing gross margin and SG&A expenses were well controlled resulting in OUP of $53 million before the $9 million legal charge or an OUP margin of 4.6%, an expansion of 50 basis points over the prior year. Our U.S. operation, which represents two-thirds of the Americas segment had revenues of $776 million, an increase of 4% over the prior year. Billing days were the same in both years so average daily revenue equaled reported revenue. Our reported OUP in the quarter was $29.7 million, which includes a $9 million charge for legal costs related to the settlement of alleged payslip reporting violations. Excluding this charge and the prior year restructuring charges, U.S OUP was up 12% and the OUP margin expanded 40 basis points to 5%. This OUP margin expansion came from a slightly higher gross profit margin as well as SG&A expense leveraging. Now let's take a look at our brands in the U.S. The Manpower brand comprises 57% of revenue, Experis 36% and ManpowerGroup Solutions 7%. Within Manpower, the revenue growth rate improved to 5%. This compares to average daily revenue growth of 2% in the first quarter. You will remember that the first quarter was impacted by weather however even after discounting this impact, the overall growth trend is favorable. Compared to last quarter, our Manpower growth was driven by SMB accounts and larger national accounts. Revenue from our larger global accounts is down significantly primarily due to pricing decisions made last year. From a skills perspective, our growth was entirely driven by our industrial and light industrial business consistent with what you would expect in the earlier stages of recovery and reflective of the growth we have seen in the manufacturing side of the U.S. economy. Our Experis business in U.S. showed improving revenue trends through the quarter, down 1% on an average daily basis compared to contraction of 4% in the first quarter. Within Experis, IT revenue growth improved to 1% over the prior year and accounting, finance improved to 6%. Experis engineering was down 1% compared to the prior year. Our Experis gross profit margin expanded more than 100 basis points in the quarter as we continued to aggressively manage the pay bill gap with our clients and candidates. Our U.S. solutions business saw strong revenue growth in the quarter of 21%. This was driven by very good growth in our market-leading MSP and RPO offerings. Revenue in Mexico was down 1% in constant currency, but up 3% on an average daily basis. While the market in Mexico remains difficult, we have been able to land some solid wins and our sales pipeline is improving which has set us up for a better second half. Revenue growth in Argentina was 18% in constant currency, however this is driven by inflation as billable hours were down by 10%. As you might expect the market in Argentina remains challenging given the current state of their economy. Other markets in America were up 11% in constant currency, with Colombia and Brazil being the primary growth drivers. Revenue in Southern Europe came in about as expected at $2 billion, an increase of 4% in constant currency or 9% in U.S. dollars. Revenues in Southern Europe were slightly impacted by billing days as average daily revenue was up almost 5% in constant currency. OUP in the quarter was quite strong at $96 million, an increase of 53% in constant currency after excluding prior year restructuring charges. The OUP margin expanded by 160 basis points to 4.9%, which is driven by an expansion of Staffing gross profit margin and improved productivity resulting in an SG&A expense decline. Now let's take a look at the French market, which represents 72% of the Southern Europe segment. Revenues in France were $1.4 billion, an increase of 7% in U.S. dollars or 2% in Euro. Average daily revenue in France was also up 2% as billing days were the same in both years. This growth is similar to what we saw in the first quarter, which was also 2%, however the prior year comparable growth was more than 1% stronger in the second quarter of this year compared to the first quarter. OUP in France was $72 million, an increase of 60% in constant currency after excluding the prior year restructuring charges, though OUP margin expanded to 5.1% from 3.2% in the prior year on an improved gross profit margin and a reduction in SG&A expenses. Our gross profit margin benefited from strong price discipline combined with a favorable direct cost impact from the enhanced CICE payroll tax credits. Revenue growth in Italy continued to improve in the quarter, up 7% in constant currency or 9% on an average daily basis. While the Italian market remains fragile, there is some demand in the marketplace and our clients are opting for flexible workforce solutions to address the resource needs. We are also seeing good growth in permanent recruitment as our clients are upgrading their talent to better address the requirements of a more competitive global economy. Italy's OUP was $18 million, an increase of 15% in constant currency excluding the prior year restructuring charges. While we continue to see some price pressure on gross margins as result of stronger growth in our larger key accounts, our team was able to expand the OUP margin by 30 basis points to 5.8%. Revenue growth in Spain remained quite strong, up 31% in constant currency or 22% on an organic basis. OUP is up more than three times the prior year as our management team in Spain was able to take on this additional revenue with minimal cost increases, a great leverage and productivity start for the company. Revenue in Northern Europe was $1.5 billion, an increase of 9% in U.S. dollars or 5% in constant currency. This exceeded the high-end of our guidance range as revenue growth was slightly higher than forecast in a number of markets. On an average daily basis, revenues were up 6%, an improvement from 3% last quarter. This represents the fourth consecutive quarter of year--year improvement. OUP in the quarter was $46 million also an increase of 5% in constant currency. This resulted in an OUP margin of 3% which is in line with the prior year after excluding restructuring charges. While gains were made in Northern Europe on SG&A leverage, they were slightly offset by a slightly lower gross profit margin primarily as a result of changes in business mix. Our growth in permanent recruitment remained steady in the quarter, up 12% in constant currency with good growth coming from the U.K. and the Netherlands markets. Within Northern Europe, our Manpower brand represents 74% of revenue, Experis represents 22% and ManpowerGroup Solutions represents 4%. During the quarter, we saw growth across all brand offerings with the strongest growth in Experis, which is up 12% in constant currency. Experis also showed a good increase in profitability, up almost 20% over the prior year. Our U.K. operation represents about one-third of Northern Europe and had strong growth in the quarter accelerating to 14% in constant currency or 16% on an average daily basis. During the quarter, we saw some good strength in our IT business within Experis, as well as our SMB growth at Brook Street. Additionally, permanent recruitment continues to strengthen with organic growth of 23% in the quarter. Our Nordics operation represents 21% of Northern Europe and had a revenue decline of 4% in constant currency or flat on an average daily basis. During the quarter, average daily revenue trends softened in Norway with a slight contraction while average daily revenue went positive in Sweden for the first time in nine quarter. Revenue growth in the Netherlands improved for the second consecutive quarter, up 10% on a reported basis in constant currency and 8% on an average daily basis. Revenue in Belgium represents 7% of Northern Europe and was down 4%, which is below market growth, slightly due to our client mix, but also due to price discipline on contract renewals. Our Asia-Pacific, Middle East segment had revenues of $594 million, a decline of 2% in constant currency, which is slightly below our flat forecast. OUP in the quarter was $21 million, an increase of 4% in constant currency excluding prior year restructuring charges. This resulted in OUP margin of 3.5%, an increase of 20 basis points, primarily as a result of improved Staffing gross profit margin. Our Japan operation represents 36% of Asia-Pacific, Middle East revenues. In Japan, revenues were down 4% in constant currency. While we have seen demand for our services gradually improve in Japan, our challenge has become more one of recruiting in a tight labor market with unfavorable demographic trends. As result, we are driving a number of initiatives to enhance our recruiting and retention of associates. Our business in Australia represents 25% of the Asia-Pacific, Middle East segment and had revenue growth of 2% in constant currency. This is the first quarter in the last eight quarters to achieve positive revenue growth and revenue trends have now been improving over the last seven quarters. Revenue growth in other Asia-Pacific, Middle East countries is mixed with strong growth in India, Korea, Taiwan and Singapore and declines in China and a few other smaller markets. As you may recall from previous discussions, the decline in revenue in China is primarily attributable to changes in the Staffing regulations which took effect in July of last year. These regulations placed a number of restrictions on the market, including the number of temporary workers our clients can use and length of assignment. Despite this topline contraction in revenue, profitability was stable with an improving OUP margin. Revenue at Right Management was $80 million in the quarter, a decline of 3% in constant currency. Within Right Management, our outplacement business which represents 66% of total revenue, weakened in the quarter contracting 6% in constant currency. The balance of the business is comprised of talent management, which saw improving revenue growth in the quarter, up 6% in constant currency. The growth in talent management is a good indicator of employers increasing confidence and resulting investment in their workforce. OUP of Right Management came in at $13 million, an increase of 27% in constant currency after excluding the prior year restructuring charges. This resulted in OUP margin of 16%, an increase of 360 basis points over the prior year. This margin expansion is due to our cost recalibration efforts as well as more efficient delivery solutions. Next I would like to review our cash flow and balance sheet. Free cash flow, defined as cash from operations less capital expenditures, was a use of $37 million in the first half of the year compared to $97 million in the previous year. Cash used in the first half was primarily the result of an increase in accounts receivable due to the seasonal ramp in revenue growth. Our accounts receivable are being well managed and our day sales outstanding is consistent with the prior year. Capital expenditures were slightly down in the first half of the year at $21 million compared to $25 million in the prior year. Other elements impacting cash flow in the first half of the year were the semiannual dividend payment of $39 million, share repurchases of $17 million and acquisitions of several small specialty businesses for $24 million. Our balance sheet was strong at quarter-end with a stable capital structure. Total cash at quarter-end was $639 million and total debt was $529 million, bringing our net cash balance to $110 million. Our total debt to capitalization was stable at 15%. During the quarter, our credit ratings also improved with Standard & Poor's raising their rating to BBB and Moody's maintaining their Baa3 rating while upgrading their outlook from stable to positive. Our credit facilities were stable with the prior quarter. We have a €350 million fixed rate Euro note outstanding that matures in 2018 and a $600 million corporate revolving credit agreement with no borrowings outstanding. Next I would like to discuss our outlook for the third quarter. As you take a look at revenue, I will remind you that our second quarter was unfavorably impacted by about 1% due to less billing days in some countries compared to last year. Our third quarter revenue growth is not impacted as billing days are essentially the same this year as last year. We expect revenues to be up between 4% and 6% on a constant currency basis or 5% to 7% in U.S. dollars. The midpoint of our constant currency range of 5% is slightly higher than the reported second-quarter growth of 3.7% and a shade higher than the second quarter average daily revenue growth of 4.7%. From a segment perspective, we expect the Americas, Northern Europe and Asia-Pacific, Middle East to have slightly stronger growth in the third quarter than the second quarter on both a reported and on an average daily basis. In Southern Europe, we expect growth of 3% to 5% in constant currency which, at the midpoint, is slightly less than the average daily growth we saw in the second quarter. This slightly slower growth is a result of slower growth in Spain as the anniversary of prior year acquisition in the third quarter. We expect a stable rate of growth in the French market despite increasingly tougher prior year comparable growth rates. We expect gross profit margin to be slightly stronger than it was a year ago, which is consistent with what we achieved in the first half of this year. On a sequential basis, the gross margin will be weaker than the second quarter given the normal seasonal impacts on our gross margin. We expect our operating profit margin to land between 3.7% and 3.9%, an improvement of 50 basis points over the prior year at the midpoint. As you can see this reflects strong operating profit margins on incremental revenue growth due to strong SG&A expense leveraging. This is precisely what we have been working on with our simplification and cost recalibration program. We expect our tax rate to remain in the 39% range resulting in earnings per share between a $1.46 and $1.54, which includes $0.02 of favorable currency. Before concluding, I would like take a step back and look at how we are progressing on our journey to 4% EBITDA margin. As many of you are aware, about 18 months ago, after reporting our 2012 results, we laid out a roadmap defining how we expect to get from our then EBITDA margin of 2.4% to our 4% goal. If you look at our current results on a trailing 12 month basis through June of this year, you can see that we picked up 100 of the 160 basis points gap. We did this on essentially the same revenue level as 2012. Our a trailing 12 month EBITDA has increased 41% since 2012 and represents an all-time record for the company. Our EBITDA margin is also at the highest level that it has been at in more than 15 years. While we have made excellent progress in the last 18 months, we are not yet where we need to be. We do however have a good line of sight on our 4% goal and are confident we will achieve it. As we have said in the past, this is not the end of our journey. Once we reach this milestone, we will assess and set appropriate financial targets going forward. With that, I will turn the call back to Jonas.
Jonas Prising: Thanks, Mike. The second quarter was a strong quarter for us and we executed well and in line with what we had anticipated. It was a quarter where solid execution delivered good results. Now I would like to take a few moments to discuss our Experis performance in addition to what you just heard from Mike. So the Experis business improved slightly in a number of geographies during the quarter, reflecting an increasing demand for higher skilled talent, particularly for IT skills. This is true for us in Europe and we also saw some good signs of getting better traction in our U.S. Experis business. As I mentioned in our last our earnings call, I am not satisfied with our recent growth performance in the U.S. IT skills segment and we are continuing to feathering recruiters to make sure we get back to market performance and although this is taking longer than I would like, we showed growth in the quarter for U.S. Experis IT and we are looking forward to seeing this trend continue also going forward. Now as I step back further and I look at our Experis business evolution over the last three to four years, I am pleased with the overall progress, because we have made good strides in terms of strengthening our capabilities in professional resourcing area. We have launched a global brand. We have established an Experis presence in 45 countries in the past two and half years and we have made excellent progress in building offerings we know clients are looking for, particularly in the area of IT skills. Now one of those big steps forward was the acquisition of COMSYS in the U.S. four years ago, which has turned out very well for us. We have seen a big shift in the ManpowerGroup U.S. business mix, which better reflects the market. We have increased our bill rates and margins have moved up significantly. We have established an engineering offering, where our improved capabilities are reflecting in higher margins as well as bill rates. We have also gotten our finance and accounting offering formerly known as Jefferson Wells into good shape. With the leadership talent that came from COMSYS, we also accelerated our progress globally, notably in Canada and in Latin America, generating significant organic growth. The acquisition also provides us with an opportunity to strengthen our MSP TAPFIN business in a big way and we were just named the number one global provider by Everest Research last week. During all of this time, we retained the senior leadership from COMSYS who led the expansion of Experis in the Americas. One of those talented senior leaders is Mike Barker, who came from COMSYS and made Experis Americas into what it is today. And that he has winding down his career towards the end of the year. I am very excited have strong talent to succeed him from within the company. Many of you may recall our growth story, when we bought Elan in 2000, growing it from a $350 million, primarily U.K. centric business, to what it is now, a $1 billion plus pan-European leader in IT resourcing, all through organic growth. The person responsible for that growth was Sean Costello and he was responsible for the business in Europe and as of September 1, he will transition to be responsible for Experis in the Americas, succeeding Mike, which will give us a very good and seamless succession. And with that, I would like to hand it over to Jeff for his comments on the quarter.
Jeff Joerres: Thanks, Jonas. The quarter from a macro view came in very much the way we anticipated with extremely solid execution and taking advantage of most of the opportunities that the markets presented to us. If you recall, last quarter we continued our more positive view for a slow protracted yet upward trending labor market. We also set our second quarter expectations above analyst estimates at a range of a $1.26 to $1.34. The team was able to slightly exceed the top end of the range even after accounting for the legal charge that occurred during the quarter. In the past, I have referred to the labor market as a patient. To continue that analogy, we experienced continued improvement from the induced coma, if you will, of 2008 and 2009. The labor market is clearly improved from that point to where we were able to, at the end of 2013, when the labor market became much more of an outpatient. The labor market is still walking with a bit of hitch in its step, but we feel it is clear that we are not going to be relapsing anytime soon. We are still experiencing real cautiousness on the part of our clients, both large and small, but that cautiousness is with a more positive outlook, if you will. While Asia is less buoyant than what we have had experienced in the past, Europe, our largest geography, is making strides steady from a growth perspective. The U.S. continues to improve as you can see from the BLS numbers and our own numbers as a result of the second quarter. The US market continues to be spotty in its growth characteristics, however it is becoming more balanced and even as we moved through the second quarter. We see this protracted spotty recovery as beneficial to us. A growing economy is critical to our success. However too fast and heated is not helpful because it dictates unhealthy behavior from companies who are bloating their hiring doing things in an irrational way and clearly a much more heated recovery flings out a lot faster at a much faster rate. There are clearly forces that may change our current assessment, but as we have experienced things in the last few quarters, we continue to remain optimistic for balance growth from an industry and geographic perspective. Jonas?
Jonas Prising: Thanks, Jeff. In summarizing the second quarter, we are pleased to see that our efforts in driving profitable growth and simplification initiatives are continuing to show progress and we will remain committed to both of those levers of our business also in the future. I really think this will be important because the overall global situation is still in the early innings of the recovery. But as Jeff just mentioned, we believe the slowly improving market can be beneficial for us as clients use more of our offerings to navigate that kind of environment. And as I look ahead, we will be very intentional in focusing on where we can provide the most value to our clients and allocate resources to those areas in a deliberate and disciplined way. And as I look towards the third quarter, we see continued gradual improvement in market conditions globally, although that average is masking much better conditions in some markets, but fairly flat to still difficult conditions in others. Our aim is to accelerate our performance even under those uncertain conditions and we look forward to building on the progress we have made also in the future. So with that, we have come to the end of our prepared remarks. I would like the operator to start our Q&A session.
Operator: Yes, sit. Thank you. (Operator Instructions).
Jonas Prising: And Gabby, this is Jonas Prising. Gabby, just to apologize for any problems you might have had getting into the PowerPoint presentation. As you can imagine, we take protecting our sensitive information very, very seriously, which should not extend to having a PowerPoint presentation password-protected when its time for our conference call. So we will make sure we look into that and fix that for next time, but apologies again if this caused you to have difficulties getting in right at the beginning of our call. So back to you, Gabby.
Operator: Thank you, sir. We have a question coming from the line of Mr. Paul Ginocchio. Sir, your line is open.
Paul Ginocchio - Deutsche Bank: Great. Thanks. Maybe just to kick off, can you just help us size the benefit from the CICE tax credit in France on the gross margins?
Mike Van Handel: Yes. Paul, it's Mike. The CICE, as you know, did increase this year as a percentage of eligible wages to 6% from 4% last year. So certainly there is more benefits that's coming as a result of the CICE, but it really is part of our overall business and our overall operations with how we are pricing business on a day-to-day basis. So it's really, at this stage, hard for us to extract exactly what that benefit is. And in addition to that, there is a lot of investment that we are doing, which is also part and parcel of the regulations. So in terms of our development programs, for our people training programs, there is some investment as well that's happening. So that all is part of what's happening there. Now, no doubt, you see that the French operating margin was quite strong this quarter and what you see there is some benefit from the gross profit margin. Certainly CICE had some impact, but also there are number of other pricing initiatives that we have going on in France where they been successful. And SG&A overall has been down year-on-year. So they have done a number of things, a number of elements overall just from a productivity standpoint where they are driving productivity as well. So to extract it is quite difficult. Jonas, maybe you have a few more comments you may want to add in terms of how we see CICE and how that really is working into the labor markets in France generally, which I think is maybe more important.
Jonas Prising: Yes. If you recall, during our discussion last quarter, I think by now CICE has really become a core component of the French government's intention to make labor costs in France much more competitive than what they have been in the past. In actual effect, the social pact that was approved by Parliament, just the 10 or 12 days ago in France includes also some additional measures that will start to kick-in in 2015. Now it's a little bit early to size those changes, but on the whole we think that they will be beneficial to our business as well.
Paul Ginocchio - Deutsche Bank: Great. Could you also just, maybe, comment on Germany? The 1% constant currency growth there? How much of that was price versus volume?
Jonas Prising: Well, in Germany, as you know, it's quite a different market from most others. So we have the CLA changes that happened last year. We have the minimum wage changes that are coming in, in January 15. And we have talked about us lagging in the market there, and we have made some changes in the business that - are starting to address that. Although this quarter was not as strong as I would like, I am confident that we are taking the right actions with a strong new management team and profitability is improving. So I am not reading too much into this quarter. It will fluctuate as we move ahead, but I would also look at, and Mike maybe you can comment a bit more around that. If you take the seven and the one comparison between the first quarter and the second quarter, the daily revenue numbers make that into three to six gap. You should remember that we have collective labor bargaining agreement kicking in into the second quarter, which reduces it by a further point and then we have been applying our disciplined pricing thought to the German market with some of the changes, in particular on the contact center areas. So that would explain the gap. So I would repeat that we are not where we want to be in Germany yet, but we are making some progress. But the progress will be a bit lumpy from quarter-to-quarter.
Paul Ginocchio - Deutsche Bank: Thanks, Jonas.
Jonas Prising: Thanks, Paul.
Operator: Thank you. The next question comes from the line of Mr. Kevin McVeigh. Sir, your line is open.
Kevin McVeigh - Macquarie Capital: Great. Thank you. It sounds like you have been pretty disciplined on pricing across several geographies. Is there any way to quantify how much that impacted the revenue growth in the quarter? It seems like we are being much more disciplined, and just gave up a lot of revenue off of that.
Jonas Prising: Well, it's not that we have given up much revenue at all, based on what we are seeing right now. But clearly, for some time that we have said, we are going to be very disciplined in approaching market opportunities and making sure that we weigh the benefit to the company with a potential revenue boost and I think it would be easy for us in some of our brands to rapidly increase our revenue growth but I am not sure that it would add much to the bottom line.
Jeff Joerres: Yes. This is Jeff. I will just comment on that a bit also, it that revenue has lots of different components to it. So we have talked about before in previous quarters, where some really large companies that are doing a little bit more action in their SG&A and their cost of some of the labor and some of the small accounts aren't doing as much. And then you put pricing discipline in there. So clearly it has had an impact on the topline but when you trade-off the impact its had on the topline to what it is contributing to the bottomline and still being close to market, we feel pretty doggone good about the decisions that have been made.
Mike Van Handel : I think one thing to note, as you look at each of the segments, three of the four staffing segments had an improvement in gross margin on a year-on-year basis, both at the staffing level and total GP margin. So overall margins came in at the higher end of our guidance and are coming through quite nicely this quarter.
Kevin McVeigh - Macquarie Capital: Got it, and then just, France continued to outperform the market pretty strongly. Anything that continues to drive that? Is that just client specific? Or just relative to where the prism data has been shaping up?
Jonas Prising: So the French team continues to execute well and this has been something that we have seen for some time. Although I would say that it is something that over time it's a very competitive market, but the team has been very focused on pricing discipline and also making sure that we manage our expense side very well and that's produced some excellent results for us so far.
Kevin McVeigh - Macquarie Capital: Okay. Thank you.
Jonas Prising: Next question, please. Thank you.
Operator: Thank you. The next question comes from the line of Ms. Sara Gubins. Ma'am, your line is open.
Sara Gubins - Bank of America Merrill Lynch: Thank you. Good morning. I thought your comments about the French market or your expectations for growth were encouraging, around the stable growth expectations. Could you talk a little bit more about the tone given weaker PMIs that we have been seeing recently in France?
Jonas Prising: Well, the French market, and as you can read in many places, the French economy is not doing well and it's actually one of the economies in Europe that's still stuck in first gear trying desperately to get into at least second gear. And I would say that employers are somewhat cautious in their outlook and I think we are benefiting from some of that caution but it's really within the context of a very muted economy that is still struggling. So employers are still cautious. They are still concerned. And I would expect that as we look out, stable growth, yes, but with a degree of choppiness as we look ahead. So it is still trying to get into second gear, and it is stuck into first gear for now.
Sara Gubins - Bank of America Merrill Lynch: Okay, and then Mike, of the $40 million in cost savings you are expecting in 2014, how much came in the second quarter? Was it the rest of it?
Mike Van Handel: Roughly about $10 million. So we had about $20 million come in the first quarter, about $10 million in the second quarter and then we will have the remaining $10 between Q3 and Q4.
Sara Gubins - Bank of America Merrill Lynch: Great. Okay and then just last question on the cost side. Could you give us an update on how you are thinking about the opportunity to consolidate location on a global basis and continue to reduce footprint? Thank you.
Jonas Prising: Well, in some markets, we are going to be increasing the footprint. In others we will consolidate. Then of course, as you know, we have worked a lot on our delivery models, which were feathering in, in the various geographies. As we do that consolidation, we are always very mindful of, we want to increase our market presence. We are not backing out of any markets. And so as we work on the delivery models, we do that with the intent of improving our market share as well as improving the quality of our services that we have. So we have been working on that as part of the simplification program for the last couple of years and you will continue to see us work on that in the geographies and in the places where we believe we could do exactly that and make sure we maintain and increase our market share in those places, but at the same time deliver the efficiencies on our productivity and the quality improvements that we are looking for.
Sara Gubins - Bank of America Merrill Lynch: Thank you.
Jonas Prising: Thanks, Sara. Next question, please.
Operator: Thank you. The next question comes from the line of Mr. Tim McHugh. Sir, your line is open.
Timothy McHugh - William Blair & Company: Thanks. I guess I just wanted to follow-up your comment about the stimulus that just got passed or I guess approved by the legislation last week in France. Is it similar in structure, as you look at it right now to the CICE? That it could be a positive impact to margins? Or is it more something that it might be helpful could prove the pace of the labor market growth next year? Where will see the boost?
Jonas Prising: Well, it's a little bit early to see exactly how it's been implemented, but it's not structurally done in the same way as CICE. It would be more in the context of lowering of certain charges onto the labor costs. So it would be more like a traditional easing of labor costs. CICE is a very specific package. It's done in a certain way and this would be more in the line of traditional lowering of social charges.
Jeff Joerres: So when it come down to it, I think it is probably one of the ones that we are quite hopeful that it can actually spur some more growth while maintaining the CICE in there. It will also possibly help a few other subsidies but this really does lower the overall cost of labor, which is what France needs right now.
Timothy McHugh - William Blair & Company: So it would be more of a boost to the overall market growth then, I guess. So it wouldn't be a gain to your expense structure?
Jeff Joerres: Well, I think there's two components. Certainly there is hope that it does have the intended consequence, which is impacting growth in the marketplace. I think that is number one. Number two would be as Jonas said, more like a traditional subsidy and there other maybe some benefit to us from that. And it is too early to quantify that at this stage. But I think there could also be some benefit on that's side as well.
Timothy McHugh - William Blair & Company: Okay, and then Italy. Can you just give more color there? The growth rate picked up a bit there. The trends have been improving, but I guess a little choppy the last year. Are you prepared to say you are seeing any different pace of improvement there or you are doing something different? Or is it just a gradually improving environment?
Jonas Prising: Well, I think it is a gradually improving environment. But as you know, Italy is still, as a market and economy, having a really tough time. But whatever demand is there now is, in many cases, being filled by ourselves and by the industry. So that's where you are seeing some growth. And as it relates to our performance within that context, if you recall, we were coming a little bit behind from where we wanted to be. We have been implying good pricing discipline, because this is the kind of environment where when you are not careful, you might lose that balance and the team is doing a good job balancing both, driving some growth as well as applying a good pricing discipline. And you are seeing that result come through both on the bottomline as well as on the topline growth.
Jeff Joerres: Tim, I think your comment is good about that seeing some choppiness in some of the markets. That's typical in these type of recovery markets. You never see month-on-month. We would all like to see improvement continue to accelerate but you never quite see that. It bounces around a little bit, but when you look at it over an extended period of time, then you actually see where things are going. I think that's been the case with some of the markets that we are in right now. But overall, you are seeing the trends still move in a favorable direction.
Timothy McHugh - William Blair & Company: Okay. Great. Thank you.
Jonas Prising: Thanks. Next question, please.
Operator: Thank you. The next question comes from the line of Mr. Jeff Silber. Sir, your line is open.
Jeff Silber - BMO Capital Markets: Thanks so much. Jonas, I know you have been with the company a long time, but as a CEO you probably have a different perspective now. Were there any surprises since you have taken over the role?
Jonas Prising: The advantage of having been around for 15 years is that any rapid surprises would have been surprising in itself. So no, I would say, in terms of our overall outlook, we think the markets are evolving as we had expected. This is still in the early innings of a global recovery, in particular in Europe, where we have a lot of our business and in my new roles, clearly what I have taken the time to do is to sit back and look at all the opportunities that I think that lie ahead of us and it's very encouraging, because I think we are going to see some opportunities for secular growth. On the perm side, we still have opportunities that come with more cyclical growth. And of course Europe being in very early stages of the recovery, we should see some good growth opportunities there as well. So it should be a positive environment for us, but as we said that in the past, it's a gradually improving economy. So on the whole, it will take time, but as Jeff said in his remarks, that could be very good for us because it means that we help clients navigate in this kind of choppy environment and our ability to provide workforce solutions and strategic agility becomes extremely or much more important to them and that could be a great opportunity for us.
Jeff Silber - BMO Capital Markets: As a follow-up, I know this may be tough to gauge based on the information in each specific market, but do you think you are gaining share in any of the major markets? And if so, why?
Jonas Prising: When you step back, I think there are a handful of markets that we are gaining share. As we talked about earlier, France, we certainly have been gaining share over a period of time. The U.K., we have been gaining share, if you look at that over an extended period of time. I think some of the other markets depending upon the quarter, we are picking up a little bit of share. So I think it's that. Revenue growth is important. We are balancing that, of course, with price discipline. So while we do believe we have got the strongest offering, from an overall workforce solutions standpoint, from our clients. We are still going to be price disciplined as well. So we are balancing all of those offerings at the same time. So I think that has been effecting in a couple of markets where we are not quite up to market. We are not far off and we are working hard to catch up as well. So I feel like we have a good balance. You have seen gross profit margin improved the last few quarters overall. And of course operating margin is reflecting that as well.
Jeff Silber - BMO Capital Markets: All right. Thanks so much.
Jonas Prising: Thanks, Jeff.
Operator: Thank you. The next question comes from the line of Mr. Gary Bisbee. Sir, your line is open.
Gary Bisbee - RBC Capital Markets: Good morning, guys. I appreciate the color on Experis. And you said you are hiring recruiters to improve the growth there. But if you could just take a step back, to what do you attribute the under performance of the U.S. IT business in the last couple of years? And as a result, how easy is that going to be to get back towards market? Is it a skill issue or mix of clients? And if it's one of those things, how far along are you in trying to improve that? Thanks.
Jonas Prising: As I mentioned earlier, when you back on the whole, we are pleased with the progress that we have made. Now over the last near-term, we have not been where we wanted to be on a growth rate. And I would say. we talked about coming off a period of very rapid growth on the Experis IT side in side particularly and as it related to the M&A stuff that happened in the financial sectors as well as some big projects in the IT industry segments, which we benefited from. And as we have tried to replace that, the time to replace it has been a little bit longer than we would have liked. And we have taken action in terms of feathering in recruiters as we go. And I have to say, I am pleased to see that those early results are starting to come in. I mean, clearly we are not where we would like to be yet, but we are seeing some progress and will continue to feather in recruiters until we make sure that we match our ability to meet the demand that's in the market. And that's where we are going to be very focused on.
Jeff Joerres: And Gary, I think we also have to be careful not to lose sight. We have been working on pricing as long as the Experis business as we have talked about, and in the quarter, IT in the U.S. was up 8%. So pretty good growth, overall from a GP standpoint and overall margin was up well over 100 basis points in Experis in the U.S. So there is a balance. Clearly we need more revenue growth. We are working on that, but I think we shouldn't lose the fact that we have actually improved gross margins quite nicely over the last several quarters.
Jonas Prising: And maybe to add to that, as the last point, we have a very experienced team managing that business who has been in the industry for 20 or 30 years. They know what to do and they know how to manage the business trying to balance the coming off of bigger projects with pricing discipline and improving margins and bill rates and things like that takes some time. But they know exactly what they doing. So I am confident that we have a good team in place and also I am confident in the change in leadership and the well-planned succession is going to help us stay focused on making sure that we continue to get onto the positive trend that we saw now in the second quarter for the IT business.
Gary Bisbee - RBC Capital Markets: Great. Thank you.
Jonas Prising: Thank you. Next question, please
Operator: Thank you. The next question comes from the line of Andrew Steinerman. Sir, your line is open.
Andrew Steinerman - JPMorgan: Hi, everybody. Mike, I just wanted to quiz a little bit about the French growth in the second quarter. I know the way you describe it is that it's the same on a same day basis, 2%, as it is on a constant currency basis but when you really take it apart, isn't there an Easter effect in April? Isn't there some odd timings of Thursday holidays in May? So when you dig under the covers in France, even though the technical definition of days is the same, do you feel like second quarter was handicapped at all? And did that frame at all your comment about France temporary helped going into the third quarter?
Mike Van Handel: Well, your question is a good one, Andrew, because I think it is always difficult. We try to do an average daily but you never know if you are getting it quite exactly right because of the timing of holidays and then you just try to go into some analytics and I am not sure that that even helps things overall. I think as we look at it, I think I would say the market feels, as Jonas says, certainly it's cautious but feels fairly stable. It doesn't seem to be taking a pause per se. The 2% growth in the second quarter is on a little bit tougher comparables than what we had in the first quarter, looking against the prior year. And as we look to the third quarter, we are looking again for growth in that 2% range, again against increasingly more difficult comparable numbers. So I think the French market, while headline growth is stable, I think as they get through the year and some of the stimulus works its way through, I think there is opportunity to see that growth rate improve a little bit. But it is choppy. It is a little bit cautious, but I guess it will work its way through. And I think your question is a good one. I think its tough to be a little bit too analytical in terms of, you can only slice the salami so thinly when you look at the monthly trends and where things shake up.
Andrew Steinerman - JPMorgan: Right. But you see it the same way as I do. Even though the days are the same, there might have been a little bit of a handicap in the second quarter, right?
Mike Van Handel: Yes, I think that's likely the case.
Andrew Steinerman - JPMorgan: Okay. Thanks so much.
Jonas Prising: The last question, please
Operator: Thank you. Next question comes from the line of Hamzah Mazari. Sir, your line is open.
Anj Singh - Credit Suisse: Hi, this is Anj Singh dialing in for Hamzah. Just a couple quick questions. Jonas, you mentioned on Experis that you are feathering in these recruiters and it's taking a little bit longer than you would like. I was wondering if you can give any color as to how long you think it takes to get the number of recruiters to where you are happy with it? Is this something that's going to happen over a time frame of a couple quarters or longer?
Jonas Prising: Well, it's something that we know it was going to take time because, as you know, it takes a while for recruiters to come up to full productivity. As long as demand is strong, we will keep on a feathering the recruiters in until we feel that we have the right mix so we can satisfy the demand that we are seeing with the amount of recruiters that we have and also the maturity of those recruiters as they become more experienced. So you will see us continue with that and it will take some time for us to keep on going on and getting back to where we want to be, but it's probably going to be an ongoing process as we look ahead.
Anj Singh - Credit Suisse: Okay, and one quick follow-up. Really strong growth in the U.K. Wondering if you can give any input as to how sustainable you view that to be and what your view is of the perm growth.
Jeff Joerres: Yes. So the U.K. clearly is a market that has been improving and we are seeing more demand and it's a fairly broad-based demand. It started originally more in London in the city and now it's expanding out beyond into the Midlands and elsewhere. So it's fairly broad-based. I think that correlates well with what you are reading about the U.K. economy. So I do think it is sustainable. I think they are moving in the right direction. So as we look forward, I think the U.K. is going to be a good grower for us and the perm side of it as well. As you mentioned, perm business grew quite nicely, more than 20% in constant currency organically in the quarter. So we are seeing good activity on the perm side as well. So I would say, it's still early days in the U.K. I think we are seeing the early days of recovery. So I think it has a bit to go. So I think that market is in good condition and should continue to be for some time.
Anj Singh - Credit Suisse: Okay. Thank you so much.
Jonas Prising: Excellent. Thank you. That concludes our second earnings conference call and we look forward to speaking with you during the next quarter. Thank you very much. Goodbye
Operator: Thank you. And that concludes today's conference. Thank you all for joining. You may now disconnect.